Operator: Greetings and welcome to Hostess Brands Incorporated Fourth Quarter 2019 Earnings Conference Call. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to your host, Rachel Perkins from ICR. You may begin.
Rachel Perkins: Thank you. Good afternoon and welcome to Hostess Brands' Fourth Quarter and Fiscal 2019 Earnings Conference Call. By now, everyone should have access to the earnings release for the period ended December 31st, 2019 that went out this afternoon at approximately 4:00 PM or 5:00 PM Eastern Time. The press release and updated investor presentation are available on Hostess' website at www.hostessbrands.com. This call is being webcast and a replay will be available on the Company's website. Hostess would like to remind you that today's discussion will include a number of forward-looking statements. If you refer to Hostess' earnings release as well as the Company's most recent SEC filings, you will see a discussion of factors that could cause the Company's actual results to differ materially from these forward-looking statements. Please remember, the Company undertakes no obligation to update or revise these forward-looking statements. The Company will make a number of references to non-GAAP financial measures. The Company believes these measures provide investors with useful perspective on the underlying growth trend of the business and it has included in its earnings release a full reconciliation of non-GAAP financial measures to the most comparable GAAP measures. Now, I'll turn the call over to Hostess Brands' President and CEO, Andy Callahan.
Andy Callahan: Thank you, Rachel. Good afternoon and thank you for joining us today. I'll begin our discussion by reviewing some key business highlights and the brief overview of our accomplishments in 2019 that are grounded in our pillars for growth and demonstrate the achievement of the goals we laid out a year ago.  Then Brian Purcell, our new CFO will provide greater detail on our financial results and 2020 outlook. I'd like to formally welcome Brian to the Hostess team as CFO for his first earnings call. Brian is a very talented finance executive with strong accounting, financial planning and analysis expertise with a broad depth of knowledge in the consumer packaged goods industry.  We are excited to have him on board working closely with me and the entire Hostess team. 2019 was a transformative year for Hostess. We are excited by the portfolio, operational and capability focused progress our team achieved throughout 2019 and we finish the year strong. The initiatives we advance have strengthened our foundation and will continue to fuel our sustained profitable growth. A few of the key accomplishments include driving net revenue growth of 8.7% and EBITDA growth of 11.4 % for the year excluding the in-store bakery or ISB business sold in August. Implementation of additional operational enhancements to drive significant profitability improvements in our Cloverhill business, which continue to be very important to our ongoing breakfast strategy. Completion of key changes to our product portfolio including the disposition of our non strategic ISB business which resulted in a cumulative 38% return on our investment and the addition of the Voortman business. Voortman will deliver accretive revenue and profit growth in year one and expands our strategic footprint beyond sweet baked goods providing an additional platform for continued consumer packaged goods leading growth. As a reminder, Voortman is a growing portfolio of specialty products offerings including wafers and sugar-free cookies. The next two quarters as we integrate Voortman will require significant effort and operational investments as we transition them from direct store delivery to the warehouse distribution model. We have confidence in the team's ability to successfully execute similar to what was accomplished during the Hostess relaunch a few years ago. The ship to the warehouse model will provide expanded distribution opportunities and synergies as we are able to go to market with a more diversified portfolio. We also executed the transition of our primary distribution center to a strategically better geography with increased capacity and improved capabilities. This important move provides better access to labor and trucking lanes as well as the added benefit of state tax incentives which will help offset the cost of the move over the long term. We advance the team skills and abilities through the addition of key new talent as well as the increased utilization of enhanced tools and data analytics to drive better informed decision making. And we utilize these key data analytics to successfully execute our first pricing in six years supported by our strong brand strength. At the same time, we continue to implement important enhancements to our bakery operations while gaining market share and growing point of sale well ahead of the SBG category with our Hostess branded core products and breakfast innovation generating higher volumes and increased distribution. These operational and sales efforts resulted in adjusted EBITDA growth of 11.4% excluding ISB in line with our expectations for the year, and importantly generated strong operating cash flow and reduced our leverage more than one full term to 3.4x from the end of 2018. Our team's execution represents an important step on our journey of delighting consumers and building iconic brands as we remain focused on our vision for building a sustainable profitable growth company. We have demonstrated another quarter of strong consumer driven demand, broad-based channel growth and enhancements to our capabilities that we will continue to leverage in growing categories. For the fourth quarter, point-of-sale increased 8.3% and market share increased 113 basis points to 18.6% representing growth of well ahead of the sweet baked goods category and total food. This strong consumer driven demand and price realization drove our 6.7% net revenue growth into quarter when we exclude the revenue of the in-store bakery business. Donuts, cupcakes, Danishes including both core and new innovation were revenue growth drivers with continued strong distribution and merchandising support across multiple sales channels. Importantly, our Hostess branded products drove 70% of the 6.7% sweet baked goods net revenue growth in the quarter demonstrating the strong health of our iconic Hostess brand. Additionally, our Dolly Madison branded products continued to post sales volume gains as well as we leverage our acquired Cloverhill customer relationships particularly in the club channel. We remain focused on our operational plan to drive sustainable profitable growth grounded in our five pillars. We have made meaningful progress and achieved important accomplishments throughout 2019 to strengthen Hostess' foundation and continue to remain focus on operational improvements supporting continued growth into 2020. We are demonstrating that the right focuses and capabilities coupled with the breadth and depth of our portfolio can and will deliver strong financial results. As we continue to grow our core, we are successfully leveraging our Hostess partner program to drive profitable growth across key customers. We have come a long way in a short period of time as we sharpen our analytical capabilities and insight. Our team has done a good job leveraging a collaborative set of assets and insights to drive better performance for both the retailer and Hostess. As we progress through 2020, we expect these investments to lead to further distribution in key categories and certain retailers and support an enhanced product mix driving profitable growth in a core Hostess branded products. Additionally, we have gained valuable insights into our portfolio to more aggressively manage our mix optimizing our shelf and operating assets. During 2019, we demonstrated our team's ability to effectively partner with our customers to successfully implement a multi-faceted price increase across all channels. We will be lapping the price increase in Q1 but will continually mine insights developed to react to market conditions in 2020, At Hostess, we are taking our history of growing through innovation to a new level in 2020 and beyond. As you've heard us consistently discuss the large and growing sweet baked goods category is highly impulsive and expandable. We have highly relevant and contemporary brands including the Hostess brand iconic sub brands such as Twinkies, ding-dongs and Donuts and the most recent edition of the growing Voortman brand. 2019 was a significant year for our Hostess cupcakes kicking off the year with the Hostess 100th birthday Sweetennial national birthday event and our new birthday cupcakes followed by mermaid, unicorn and other seasonal cupcakes which have continued to make Hostess cupcakes the highest selling cupcake in the United States. In late 2019, we also introduced the triple chocolate brownie to help us capture a disproportionate share of a growing $250 million plus brownie subcategory. We are excited about this innovation for 2020 as we have a full year of contribution with the expanding distribution and the resulting incremental revenue it will generate in the future. Our expansion within breakfast is going well and we continue to see strong opportunities to drive incremental growth through this segment of the market. In 2019, we achieve significant positive revenue growth from our breakfast innovation and increased our segments share from 16.5% to 17.4%. This was led by the launch of new Hostess branded breakfast items as well as from small but consumer important changes to core products grounded in consumer insights. Two examples are the success of our donuts Mac packs which serve a new uses occasion and the addition of icing to our Danishes which differentiates from our competitors and provides a priority later for our consumer. We are also excited to expand the distribution 2020 of the new Hostess cream cheese coffee cake which is off to a great start and fills a void in the market for the number two consume a preferred flavor. Our insights have never been better. Our pipeline is strong with validated ideas. Our newly formed team is continuing to utilize market insights and knowledge to develop a very strong innovation pipeline that we are confident will deliver sustainable profitable growth into the future. Our consumer engagement plan in 2020 is moving to the next level leveraging our high-impact low-cost approach and relevant programming to reach our consumers through highly engaging media online, in stores and through other pop culture channels. Additionally, our ever-changing and on-trend line of products will continue to drive the contemporary relevance of a 100 year young brand. In 2020, we will have a fresh lineup and fun and engaging products to connect with consumers via high demand flavor and form varieties and extensions as well as exciting usage driven limited-time offerings that will drive incrementality, increased buy rates among existing consumers and bring new consumers to the category. Over the course of 2019, our team achieved significant improvements through agility and efficiency. We completed several operational improvements including continued efficiency gains in the Cloverhill business and other enhancements at our bakeries to support future growth including investing in our manufacturing capabilities in the second half of 2019 to improve both quality and efficiency. We were able to reduce reliance on third parties and reduce costs by bringing capabilities in-house including the blending of some key ingredients and the production of our totally nutty wafer bar. The team continuously demonstrated their agility as they were challenged by increased production requirements to meet a rising demand while simultaneously implementing various other efficiency and quality initiatives. Additionally, as previously announced, we relocated our primary distribution center from Illinois to Kansas during the fourth quarter and we're fully shipping out of Edgerton Kansas by January 3rd, 2020. As you know, this is a massive undertaking and I am really proud of our team's effort to make this significant move. The new location is closer to our largest bakery and more centrally located in the United States expanding our capabilities and providing additional capacity to support our future growth. Our transition is going well with our primary objective to properly service our customers as we work towards improving efficiencies. I'm confident we will be at full efficiency by the end of Q1 and be ready to integrate Voortman operations into the Edgerton warehouse in April. During the first half of 2020, we are continuing to invest for the future with additional important operational upgrades underway to unlock additional capacity, enhance and modernize the infrastructure our facilities and increase redundancy in and across our manufacturing footprint. We are also excited to be moved into our new corporate headquarters and our nearly complete new Test Kitchen and Consumer Research Center in Kansas. This new center will expand capacity, increase agility and improve efficiency of new product research and development providing additional capabilities to drive growth. We have thoughtfully planned certain promotional programming and innovation for the second half of the year to accommodate the completion of these key improvements which will support long-term growth and improved profitability. During 2019, we invested in cultivating talent and capabilities through the addition of key new talent including several new leadership team members who are helping to shape Hostess for the next phase of growth. We will continue to invest in data and analytics to support our team with consumer driven insights and enhance operational capabilities to fuel future growth. We are seeing dividends in our customer partnerships, our category insights and our innovation pipeline that I will share with you later in the year as we prepare to discuss with our customers. We are continuing to leverage our strong cash flow to help fuel our growth, deleverage and support our capital needs, to recap we generated $144 million in operating cash flow for the year and improved our leverage by over 1 turn to 3.4x at the end of 2019. The sale of our in-store bakery business midyear helped fuel this improvement and we also refinanced and extended our term loan and revolving credit agreements at favorable terms, further solidifying our strong financial position for the future. From a capital allocation perspective we are excited to have completed the acquisition of Voortman, a leading North American wafer and Cookie Company for $320 million in January; this acquisition is aligned with our strategic focus and leverages our core competencies which we believe provides a compelling return for our use of cash and strong cash flow.  The integration efforts are going very well, the team has made great progress aligning customers to transition from direct store delivery to the Hostess warehouse distribution model optimizing the portfolio making associated manufacturing adjustments and initiating the ERP transition ahead of our distribution conversion beginning in April. We expect most of the shift to be completed by the end of the second quarter as we manage the complexity of our customer warehouse availability around this time. We remain confident there is a meaningful opportunity for growth in the Voortman business as we leverage Hostess broad based distribution model, focus and tailored customer approach, innovation and promotion expertise, and our scaled merchandising capabilities. I'm even more excited to complete the integration and drive the growth now that we have owned it for a couple of months and begun to dig into the business deeper. We continue to be confident that we will capture the previous announced synergies of at least $15 million in the next 12 months to 18 months and achieve targeted deal economics. Following the temporary spike in our leverage ratio following the Voortman acquisition and transitioning efforts in the first quarter, we will be actively working to deleverage back down to our target of 4 times by the end of 2020 while continuing to make disciplined investments in the business to support growth. In the short term, we will use our cash to deleverage quickly and invest in our business. On a longer term basis, we will continue to use our cash to pursue a range of potential strategic options including reinvesting in our business, deleveraging our balance sheet and pursuing potential strategic acquisitions while effectively managing our capital structure. Following the re-launch of Hostess under our contemporary business model, we continue to make strategic investments in our capabilities to differentiate us within the industry. We are part of a large, growing and addressable markets including indulgence snacking, breakfast and now through Voortman better for you product characteristics in which there is ample room to grow. We have a tested and proven playbook which has driven sustained growth over the last five years and are continuing to grow with consumers and customers as we strategically invest in the business to fuel future growth. In 2019, we delivered on our expectations both financially and operationally positioning us well for our start to 2020. We tackled a large transformation agenda which positions us for continued profitable growth and provides platforms for expansion. We remain confident in our fundamentals, increasing core capabilities and the broad-based growth opportunities we have ahead of us. We are fortunate to benefit from strong consumer demand for our products and fully expect our profitable growth momentum to continue into 2020 and beyond. Now I will turn it over to Brian to go through the details of the quarter's results.
Brian Purcell: Thanks, Andy. It's a pleasure to be speaking with all of you today. I’ve had an exciting and busy couple of months since joining the Hostess team in January. I look forward to meeting many of you in the investment community in the coming weeks and months.  Today, I’ll review our fourth quarter 2019 financial performance, our 2020 guidance and other data from today's release. Net revenue for the quarter was $216.7 million, a 6.7% increase excluding the impact of the sale of the ISB business in August, 2019. This increase was driven primarily by a strong performance of core Hostess brand of products such as donuts, as well as new core and breakfast innovation across retail channels. Gross profit was $70.8 million for the fourth quarter of 2019 and gross margin was 32.7%, excluding ISB gross profit increased 6.7% from the fourth quarter of 2018. From a margin standpoint, gross profit margin improved year-over-year due to higher sales volume and pricing actions as well as continued operating efficiencies partially offset by higher input cost. Net income increased 44% to $23.6 million and diluted EPS grew 41.7% to $0.17 primarily due to a $7.1 million gain on a valuation of a foreign currency contract to hedge the January 2020 purchase of Voortman in Canadian dollars. Partially offset by the transaction and facility transition costs and the sale of ISB. Adjusted EPS was $0.16 compared to $0.17 in the fourth quarter of 2018. The EPS impact improved operating performance, it was offset by the sale of ISB, and the diluted impact of our warrants an increased depreciation in stock compensation expense. Adjusted EBITDA for the quarter was $52.4 million or 24.2% of net revenue compared to $51.4 million or 23.9% of net revenue in the same quarter in 2018. Adjusted EBITDA increased 6.3% excluding the $2.2 million decline due to the sale of ISB. Our effective tax rate was 20.2% compared to 18.2% in the prior order. The increase was due to the Class A for Class B share exchanges during 2019. Subsequent to these exchanges, less income is attributed to the non-controlling interest, a pass through entity for tax purposes. We had cash and cash equivalents of $285.1 million and net debt of $689 million as of December 31st. Our operating cash flow for 2019 was $144 million reducing leverage to 3.4x. As we transition Voortman to unlock meaningful distribution expansion and in key growth channels, we continue to expect the 2020 financial contribution from the acquisition to be consistent with our initial expectations shared back in December. We expect contributions from Voortman to be more heavily weighted to the back half of the year once we complete the transition to the warehouse distribution model unlocking their growth potential as we begin to realize the cost synergies achieved with more integrated operations. On a consolidated basis for fiscal 2020, we remain confident in our ability to generate organic revenue growth ahead of the SBG category driven by expansion of core products as well as new innovation. We expect the acquisition of Voortman to contribute approximately $90 million of net revenue partially offset by a decline of $29 million due to the sale of ISB. We expect growth to be muted in Q1 with limited contributions from Voortman due to the inventory de-load by distributors in anticipation of the transition to the warehouse model in Q2, as well as shifting of some promotional programming in our Hostess business. As Andy mentioned in his comments, we have the calculated strategic decisions including selected SKU rationalizations and delays in timing of certain merchandising events to allow for the successful completion of our key ongoing transformational efforts including the refinement of our new warehouse operations, the integration of transition of Voortman and the addition of key capacity in our facilities. These actions will result in a slight step back in revenue growth in the first half of the year. However, we are confident they are the right decision to support improved probability and growth in the long-term. Additionally keep in mind throughout 2019; we've benefited from our well-executed price increases that were sold into the customers beginning in the fourth quarter of 2018. We are continued to monitor the market in 2020 and our evaluating targeted price increases that may be necessary to combat inflationary pressures facing our industry. We expect adjusted EBITDA to be in the range of $225 million to $240 million, an increase of 12.5% to 20% over 2019 when excluding the IFB divestiture. This increase is primarily driven by organic growth, continued operating efficiencies and approximately $20 million from the acquisition of Voortman. The near-term impact of the completion of strategic Initiatives the lapping of 2019 pricing and continued inflationary pressures are expected to result in a slightly lower rate of growth in our base business in 2020 as compared to the strong 11.4% we achieved in 2019. We have taken a balanced approach to mitigate our risk of commodity pricing fluctuations for 2020 on key ingredients, and we'll continue to monitor prices as we progressed through the year and evaluate potential inflationary impacts to 2021. Similar to revenue, we expect EBITDA growth to accelerate in the back half of 2020 as we execute the transition of Voortman complete strategic initiatives and as a result of the timing shift of certain customer program. With the combination of the timing of Strategic Initiatives, the divestiture of ISB and a drag during the Voortman transition. We expect reporting Q1 2020 EBITDA to be down mid-single digits from prior year. We expect to see improved growth in Q2 as we realized more meaningful contributions from Voortman, achieve efficiencies at our new distribution center and benefit from other cost savings initiatives currently underway. We are confident these important strategic initiatives will set us up for meaningful growth in the second half of the year and continue going into 2021. Adjusted EPS is expected to be in the range of $0.65 to $0.75 per share, an increase of 7% to 23% from 2019. We anticipate that we will end 2020 with a leverage ratio around 4x with a near-term increase driven by the $140 million of additional debt utilized to finance the Voortman acquisition and then declining over the course of the year supported by our expected strong operational cash flows. Our expected tax rate for 2020 is 24% to 26%. Now I will turn it over to Andy for his closing remarks.
Andy Callahan: Thanks, Brian. We are pleased with our strong finish to 2019 and the significant accomplishments we achieved throughout the year. We will continue to leverage our sustainable, scalable, profitable operating model to drive strong long-term finance performance in the top quartile of our peers. Across the team, we’re working together to further advance our high performance based culture to consistently win with all stakeholders. Our investments and enhanced capabilities and the continued development of our innovation pipeline will continue to lead to net organic revenue growth above the categories in which we compete. Our strategy and our execution, our robust cash flow and our strong balance sheet will create value for our shareholders for many years to come. With that, Brian and I are available for your questions. Operator?
Operator: [Operator Instructions] Our first set of questions comes from the line of Brian Holland of D.A. Davidson. Please proceed with your question.
BrianHolland: Yes. Thanks. Good evening, everyone. First question about it -- just if you can help me with the EBITDA Bridge. So I sort of thought that maybe 2020 would be another year of -- kind of outsized contribution from the Cloverhill bakery, as you kind of ramp that up and realize you know some of the synergies, I -- maybe I may think that -- I was kind of thinking closer to $10 million or $15 million bump from that. And if that was the case you know obviously be assuming flat EBITDA on the legacy business when you back out Voortman. So can you maybe help me with that? Did you -- did more of that contribution come in 2019 or is there maybe something else I'm not thinking about here?
AndyCallahan: Yes. Brian hey thanks for your question. We feel terrific about the Cloverhill integration. I think one of the things you should think about you know we bought this for $10 million and will go back and if we transform it, we've made all the transformations within the Chicago bakery. We expanded the Cloverhill acquisition a lot of those transformations have happened and we've relied a lot of that in FY 2019. We'll continue to grow and expand. It's a platform for our Hostess’ bakery business. It's integrated within our complete distribution center but a lot of that's spurring a lot of the growth that we're looking at in 2019 as well as the organic Hostess business. So we've converted it, it's profitable and it's continuing to grow. It's helping to spur the total Hostess brand organic growth which we continue to expect to go into 2020 as we integrate Voortman so a lot of that has been put forward and realized to help grow and invest in the business for growth in 2019. The cost savings are on our target it spurred the growth, it has given revenue out of the portfolio but it's also integrated within our total business model.
BrianHolland: Okay, that's helpful color. And then on the top line and specifically the merchandising you talked about a little bit of a calendar shift there. It sounds to me like that is -- that's on your end that you're dictating that calendar. I mean so far as -- you're the retailers aren't shifting you. You're shifting the calendar so I want to confirm one, if that's true and then -- as we look ahead to 2020 we talked about in Q3, expand the merchandising of key retailers so just a quick two part question: one, what's your level of visibility on getting that merchandising looking that far out and as we think about the past two years or so obviously we kind of have a trough year on merchandising in 2018, you had more in 2019. Where -- do we get more in 2020 versus 2019 I know maybe getting back to 2018 is going to or 2017 is going to be difficult but just kind of curious if we're continuing to get more merchandising support each year as we move kind of off that 2018 trough.
AndyCallahan: Yes. So a lot of things in there Brian, I appreciate the questions. It's all good because we have some noise in our revenue growth. But you said one thing that I want to just make sure I clarify. If you look at our obviously our iconic Hostess brand, you're absolutely right -- if you compare if you look at the two year stack we continue to grow our business well above the SBG category and one of the leading branded growers in CPG. That’s even with the step back in 2018 and then the step back up in 2019. And we expect to continue to grow the Hostess brand, the organic brand through in 2020 at about that same two year rate. So even in 2019 we did come back with the merchandising but that was less than a third of our total Hostess branded growth. We're growing -- and we're growing with the total business. Now you asked another question which was the first half, second half. If you step back -- if you step back and look at our strategic value creation pillars we’ve a lean -- lean and agile operating model. We're -- where we're making investments and moving the Edgerton which strategically gave us access to the lanes, soft labor, to lower cost and it gives us more capacity to integrate things and we're also integrating Voortman. All of these are exactly what we said we were going to do and are creating value over time. In the first half as we do this we do have some lapping of the revenue price increase which you will see a step down. We're also investing in some capacity things, but for us executing these and therefore simplifying our portfolio as we move to accelerate in the back half is exactly the right thing to do. We have good visibility to some of these -- we pullback in some of the merchandising and also we have good visibility of some of our larger customers the POD resets and how our merchandising supposed to flow through. So I feel really good about that. We're also -- what we're doing when we bought -- you mentioned Cloverhill, earlier when we blew up distributor across all of the channels and value, if those SKUs are not driving the value for the complexity and the work that it takes and it's not being responded to, then we're focusing on in the other channels -- in the channels where they're working or in some cases the stores where they're working and then in the back half we’ll backfill them with more higher branded SKUs. So we're seeing the first half -- getting a larger impact of some of the focus in SKUs rationalization and the merchandising as well as the revenue. But it accelerates in the back half; we have good visibility in that. With that being said -- I still think of the full year as Hostess-branded business continuing to grow at more of a two year rate as opposed to the slightly higher 2019 mostly due to the noise of the merchandising down and up.
Operator: Our next question comes from the line of Rob Dickerson of Jefferies. Please proceed with your question.
RobDickerson: Great. Thank you so much. And so look -- I guess if we look at the midpoint of the implied base business EBITDA growth or where you're guiding for 2020 we are around 6%, right if we back out the ISP the $5 million from last year. So kind of follow-on basically to Mr. Holland's questions. You pointed to EBITDA in Q1 potentially down around mid-single digit base business EBITDA for the year looks like it's up mid-single digit. So if we go through kind of a different bridge you're saying given the strategic initiatives, given the pull back and merchandising which is a timing shift, given efficiencies and potential distribution gains, let's say in different channels on Voortman’s that basically in the back half that EBITDA really should be up nicely with Voortman’s but then also what's implied is it seems like it also should be up nicely without Voortman’s, just the base. So I'm just trying to trying to gauge one, if that differential which is significant makes sense given what we need to have something in the back half. And then secondly just kind of simplistically just like to get your thoughts on you have too much going on. Right is it with Voortman’s with strategic initiatives getting back merchandising what have you. You feel like the organization is centered and visibility on getting to that back half is more than -- more than warranted. Thanks.
AndyCallahan: Yes. It's a good question Rob, I appreciate it. Let me start with do we have too much going on. We have a very entrepreneurial active energized team. There's absolutely a lot going on. But the team’s energized about making it happen. They're energized about continuing to grow the Hostess brand and they're energized about integrating Voortman into a lean and agile platform. So they get energized about creating value and we're doing all the things we said we would do. But your points well-taken about do we simplify and do we focus on things and that's one of the things we're doing in the first half. Related to your first half, second half I think you nailed in a prime way, but we absolutely have the Voortman contribution and certainly first half back half weighted, we've announced that we're integrating into the Edgerton warehouse which will be ready to go the efficiencies of the Edgerton warehouse are improving as we get through Q1 we're seeing visibility to that, but that's in the process. And the Voortman then we have a de-load and with the IVs and the transition of the costly IVs and then integrating them into Q2 you certainly see a meaningful jump up in that EBITDA in the back half, and you see the same with Hostess, all of Hostess is a little bit more muted, but for sure the Voortman you see that plus or minus. If you look at the effort, we get through the transition and the integration the second half you can see you'll have a good -- really good visibility to the value creation. I see it -- the line of sight to it, and it certainly gets me very excited and energized because I could just see the value creation not just over in 2020, but then I can see good line of sight as we accelerate the growth and into 2021 and beyond.
RobDickerson: Okay. Super. And then just quickly on the overall category. I know your guidance is always to grow hopefully ahead and materially ahead of the category. What's the perspective you could add as to where you think the category growth is now relative to a year or two years ago and what the potential of that category could be? Just trying to gauge if you grow materially ahead of the category, that's great. But I don't know where you expect the category to grow? And then that's it. Thank you.
AndyCallahan: Yes. I’d say the categories had -- it’s fluctuated depending on the timing. I know we had a little bit noise here compared to a year ago, but I think the category we are still 1% plus or minus as it goes -- as it goes up and down but as I've always said and we've seen this not just from our competitors, Rob, I believe this category is highly expandable. I just don't view it as sweet baked goods. I view it within indulgence snacking, I view it within breakfast, I view it within -- and now with our Voortman acquisition within the cookie category and with better few attributes. I believe I really like our categories because they have relatively high loyalty and they also are highly expandable. So but -- I we've modeled the category of about 1% and a good line of sight for us to continue as I said about our two year trends. Being able to be above that category growth and we're going to make that happen in 2020. Our next question will come from the line of Ken Goldman of JPMorgan. Please proceed with your questions.
KenGoldman: Hi. Thank you. I'll beat the dead horse a little bit more. Just on the guidance part. Just a little bit curious some companies when they do a deal especially deals that require a big supply chain transition, but like I think this one is building maybe a little bit of a fudge factor just in case something goes awry. So we're just trying to get a sense is your guidance for that first quarter -- is it sort of right down the fairway where you really think it's going to be or are you building in maybe a little bit of prudence just to account for the black swan events sort to speak?
AndyCallahan: I think let me answer it this way, Ken, if I can. I think our guide is very responsible and I think we have opportunities to potentially get on the high side. I think we have potentially to manage it right in a fair way. But -- as I look at everything that we have in our business the transition within Voortman, it is a large supply chain transition, but one of the things to just be aware of it's not just dependent on us. Our Edgerton efficiencies and transition are going very well as we talked about previously, we're simplifying the portfolio to make sure we increase the probability and I have really good confidence in the team for the execution but also it depends -- it's reliant on our customers because we need to -- we are moving from our independent distributors into their warehouse. Now those sell-ins are going very well with the line top customers. We're focused on the right SKUs, the insights I see relative to the consumers and the information we have is a highly incremental to those cookie categories, it's highly loyal with our consumers. It plays a specific role within the category. So I feel really good about that but we're still dependent on those warehouse slots with the customers which create some variability that we just don't have 100% line of sight to. So it takes that up to be able to get there with core Hostess business is going to continue to truck along and then when we get this added on. I could see grade value creation over the long-term.
KennethGoldman: Great, I'll let it go there. Thank you.
AndyCallahan: Yes, the range takes that into account.
Operator: Our next question comes from the line of Steven Strycula of UBS. Please proceed with your question.
StevenStrycula: Hi, good afternoon. So, Andy, I just want to clarify a quick question on the revenue outlook for the year. For the first half are you implying that both the consumption dollars that we tend to track in Nielsen will be negative as you work through some of these merchandising changes and throughout your supply chain? And then when should -- or A, is that true and then two is that the same pattern for the sell-in? Should we expect those to be dipping a little bit in the first half and then inflecting positive? Help us understand that cadence? And then I have a follow up.
AndyCallahan: Are you talking about specifically within Voortman or within that --? 
StevenStrycula: No. No. The organic business as -- so just stroking out Voortman burst out of the consumption data and then also for your sell-in for your organic sales calculus?
AndyCallahan: Yes, Yes. No it’s -- so what we'll see is we expect to see Hostess although it will be little bit lower in Q1 based on just lapping with some of the merchandising and it also is lapping some of the pricing. We'll see a step down of Hostess from where we've historically seen it. We will not -- we're not expecting -- we're not guiding or expecting a decline -- expecting Hostess to continue to grow it will grow more as we get through the later in the year and I expect the entire year growth to be ahead of the category and in line with what you would see in the two year trends. So think about Hostess like that, that's -- that is going to be slightly offset by some of our valued non-productive SKUs that were lapping, that weren't as productive, the cost of complexity was too expensive. I consider that relative to the value creation and the total growth a little bit noisy, but total Hostess manufacturer will still be up and I expect to be up ahead of the category, even with that step back a little bit from the total Hostess brand.
StevenStrycula: Okay. And Brian first of all congratulations and welcome to the Hostess party. I wanted to just clarify of the guidance bridge that you laid out there. Do we think about synergies being factored into the calculus for the current year for fiscal 2020 or is that more conservatism and saying we'll earn them in the first 12 months to 18 months and maybe that's more earmarked for 2021. And does that guidance include some level of reinvestment for this transition period in the business, can you help us kind of just understand how much that reinvestment might be. Thank you.
BrianPurcell: Sure. Yes, sure. So thanks for the question. We came out and said from a synergy standpoint that we're looking to get up to $15 million in synergies over the next 12 months to 18 months. Not all of that is in our $20 million number, but in the majority of it we're going to see more in the back half of the year. So we have contemplated synergies in that guide overall in the $20 million from an EBITDA perspective. So we've taken that into account.
AndyCallahan: A lot of the synergies are dependent on the timing of the customer warehouse transition because a lot of them are tied up into, and now we have now with the customers that we of that as soon as we do that we expect to capture them and accelerate them as best we can, a lot related to the sales force, a lot being able to get into the Edgerton and then driving efficiencies of a combined Edgerton warehouse of Hostess and Voortman. It's a step process but we have a great urgency to do that. But as Brian said, they are contemplated in the back half but not all of them.
StevenStrycula: Thank you. And if I can have a quick follow up to Ken's question. As you're planning and trying to figure out what is conservative guidance versus what is not, for some of the uncertainty related to Voortman’s as to how some of those skews slot in or do not slot into the warehouse model. When will you given the think planograms are typically laid out in the March period, when will you know whether that breaks your way or does not break favorably your way. Thank you. And I'll pass along.
AndyCallahan: Yes. So a lot of that, we’re literally working through that now. And it was a process we started with our lead our largest customers because we had to then commit to have time internally and then work to grab everybody else within a window. So for some of our largest customers, we're in the process of working through the warehouse lot which is going well, it's going very well. There are some movements we expected and positive and some negative but then that needs to transition into the planograms and then once we get the planograms now we’re in the process of working through the merchandising that offsets some of the planograms as you know, we do our merchandising or our shipper program is best in class. We're integrating Voortman in there. So we're in the process of doing that. I expect that to be completed over the next four to six weeks. And then we're going to be activating it. We're also working on some of our models and our consumer insights to understand the transference and the loyalty of certain SKUs versus the others. We'll know that better when we get it into the shelf. But think about over the next four to six weeks but that's why that process is the way it is because we're negotiating slots and then we're optimizing the shelf back and then we're looking at the incrementality of each SKUs and then we're supplementing with merchandising. I expect all this to come back great but there is this level of uncertainty as we implement this across the entire US customer base as well as the entire Canadian distribution base. So you can imagine the complexity and the timing create some uncertainty but it's in the process now. Our teams doing a great job, it’s going well, very confident. There's just a timing window we're working through.
Operator: Our next question comes from the line of David Palmer of Evercore ISI. Please proceed with your question.
DavidPalmer: Thanks. And just a clarification on Cloverhill did that reached the $20 million to $25 million in EBITDA contribution in 2019 which essentially was earlier than what you had originally expected?
AndyCallahan: Yes, yes we did. So when we got the answers, yes in regard to the core business, yes we got the cost savings, we got the revenue, we integrated and launched Hostess. We don't work at the P&L that way. I know I've said that a lot but when you include the customer acquisitions the growth of Hostess spurred within our customer base. Yes, we hit the acquisition economics.
DavidPalmer: I mean do you see discrete investments that -- so let's say that's $10-plus-million more than we would've expected that occurred in that year. And I know everything is blurred together but do you see discrete investments that you did make, discretionary ones that may be setting you up for 2020 that was the offset to that, that gives you more confidence in this year.
AndyCallahan: Related to Cloverhill?
DavidPalmer: Correct. I mean -- if you, if we -- if you're getting those, I’ll call it synergies earlier than expected were you finding ways to spend that money such that you're setting yourself up for success in 2020 and what were those?
AndyCallahan: Well. We invested in the -- we talked about this so we invested in the capabilities of the Cloverhill business when we completed that through the beginning of last year. We had efficiencies that we drove out of the Chicago bakery throughout the year; we launched the Hostess breakfast portfolio out of the back half and then also expanded the value business. Some of those SKUs were really profitable, some of them weren't. We looked at some pricing opportunities that we also built through. The investments we've made in the business were related to our capabilities which were driving some of our innovation growth. We’ve invested in MSAs within our channels which drove a lot of C-store investment growth. As you know, we’ve talked about and we’ve also talked about on the call our investment and capacity related to our core Hostess business and capabilities and quality which are also coming through into Q1.  So this support of the growth that we’ve had over the last year within Hostess of 8%, the investments that we’re making are all in the support of growth, of quality, of expanding into the breakfast, so those are the things that we’re building the sustainable profitable business on.
DavidPalmer:  Great. And then just one last one on the Voortman’s deal, I would assume revenue synergies are really not going to be much of a 2020 thing although it seems like one of those deals that are made to have those in terms of cross -- even cross border, but certainly regional distribution upside. Can you talk to maybe where are those that distribution is, and where you see that going? And am I right in assuming that much of these synergies might be a line up for 2021 and beyond. Thanks.
AndyCallahan: Yes. Well. There are two areas of synergies, you're right. And I think there is/are more revenue synergies that we're beginning to see. And I think that have opportunities for as we get to the back half of 2020 and certainly 2021. So for example first certainly within the channels looking at new forms of low blow this business out across our distribution channel, job one is to convert the distribution that currently exists and get it to our warehouse. Simultaneously, we're looking at certain channels that didn't have distributors. We're looking at capabilities that exist up within the Burlington manufacturing facilities as that help support innovation or other things under the Hostess brand or otherwise. So can we look at sweet baked goods within Canada and leverage some of these assets and trademarks that we have.  So there are certainly opportunities that we're looking at on the revenue side that provide us great opportunities for growth. And that's even before we get our insights and innovation engine working to help accelerate that. The other just revenue synergy which is kind of built into as we look long-term is just executing our in-store partner merchandising model, shipper model, LTO programs within our core customers which we are working through in the back half of the year. So it really responds well and integrates well to our go-to-market model which has driven Hostess growth for many, many years and will continue in 2020. We're one-by-one and very urgently pulling those levers and integrating into that system.
Operator: Our next question is comes from the line of Bill Chappell with SunTrust Robinson Humphrey. Please proceed with your questions.
BillChappell: Thanks. Good afternoon. First question on Voortman, and just kind of -- what you're expecting on the transition to warehouse -- and when -- I guess when Hostess -- excuse me transition back to -- from DSC to warehouse the big area where you kind of lost some share -- shelf space was grocery. So and I think Voortman is probably more indexed to grocery than the core Hostess legacy business. So just trying to understand that what you're expecting as you make that transition? Do you expect to not have that strong presence there? Are you going to make that up more in the c-stores and other channels? How do you -- how you think about that over the next six months?
AndyCallahan: Yes. Bill thanks for the question. The one thing that's a little bit slightly different Hostess, Hostess was completely out of the market and reentered. So then they had to regain some shelf space, so we expect us to -- and we’re more in a transition mode to the warehouse as we replug into back into existing shelf space. I do -- you are exactly right the way you characterize it that for sure it’s developed and primarily in the grocery channel that's true in Canada and in the US. We are pruning SKUs. So where I -- if it's going through the warehouse and we're looking at the efficient SKUs. We've done the analysis in that but some of the work I talked about. We do expect a short term to step back from some of the consumption and some of the growth just as we pulled down the inventory, put it back in the warehouse, focus on the most profitable SKUs, but I would expect that to -- as we get into the back half of 2021 and year then grow beyond that because of the other levers I talked about relative to merchandising, very quickly in the back half. But where Voortman was unable to get to think about our other channels whether it's all of our -- our drug channels or our smaller customers. We have a large developed of C-store business as you know. Our partnerships with some of the distributors versus our directly to customers, all of those we are going to connect the dots in mind and that's going to add incremental revenue to the business that the previous owners just couldn't capture.
BillChappell: Got it. And then -- 
AndyCallahan: The shelf space and grocery but it will accelerate over time. I don't expect it to be lower, I expected to grow through with smaller SKUs in the merchandising program, but it'll certainly be a step back in the first half and early as we transition.
BillChappell: Okay got it. And then just looking into your market share I guess yes a certainly great 18.6% in the year up, year-over-year, just trying to understand how much of that is core snacking and how much of that is your expansion into breakfast. Just trying to understand are you gaining share in both areas or is it really been with the addition of having breakfast items that's really helping you and get the share and is there more to come you think in the breakfast that where would you be in the breakfast kind of share versus where you think you can go.
AndyCallahan: We expect to continue to grow share in breakfast as you know, we're a relatively underdeveloped. It’s the largest segment. We grew over one share point within breakfast and we're not done. We’re now looking for the next backflow of innovation which in the back half of the year. We'll talk about that we're also launching -- Cream Cheese Coffee Cakes and other items that we feel good about. If you look at the de-comp within -- for the full year for contributions, they’re both growing. Our breakfast portfolio was -- that growth which I think about a third of the total growth, but don't quote me on that. And then the rest of the portfolio was growing extremely high as well. A lot to the investment in the data that we're mining with in C-stores, the well documented mass channel merchandising come back and then the continued innovation related to LTOs and some innovation launches, but we're growing both on our snack cakes as well breakfast, some of our real strong performance, cupcakes had a great year, donuts had a great year. So we had a good growth across the board but breakfast was certainly a step up in innovation as we leveraged the Cloverhill acquisition for the year.
Operator: Our final question is coming from the line of Pamela Kaufman of Morgan Stanley. Please proceed with your question.
PamelaKaufman: Hi. Thanks for the questions. I was just wondering if you can comment a little bit more on the cadence of the $90 million top-line contribution from Voortman. How do you expect that to break down over the next four quarters, if you can any color on that, it would be helpful?
AndyCallahan: Yes, we're kind of running steady state here. We’re just looking at the charts right here, Pam, it’s a great question. It certainly gets noisy as we get into the de-load and then the load. Brian?
BrianPurcell: Yes. Probably if you look at sort of the cadence, right, looking at the warehouse conversion in Q1, it’s probably two-thirds back half, one-third first half would be a lose guidance in terms of how to think about it.
PamelaKaufman: Thank you. That's helpful.
AndyCallahan: And just to build on that, Pam, that's a little bit one of those areas we’re working hard to pull it up, but we’re -- when we get that sooner we get accelerated, there is a little bit of range of the revenue, but that's a pretty good guide.
PamelaKaufman: Thank you. And then just a question on the gross margin, what was the underlying gross margin performance in the quarter if you exclude the ISB business last year, were your gross margins up year-over-year?
AndyCallahan: Yes. If you look at -- so if you look at Q4 and you back out the impact of ISB, we did see gross margin expansion, we saw our gross profit 5.7% in terms of what we reported. We were up a little over 40 bps, if you back out ISB it was about neutral actually from a margin expansion standpoint. So we grew gross profit 5.7% excluding it, and then just the absolute margin expansion was neutral.
PamelaKaufman: And so how should we think about the gross margin outlook for the 2020 just given the moving parts with Voortman and ISB divestiture?
BrianPurcell: Yes. So I think, so if you look at the base business. I think that we're looking on a full year basis we're not guiding margin specifically, but in general we're looking to modestly If you look at the base business I think that we're looking on a full year basis -- we're not guiding margin specifically but -- in general we're looking to modestly expand margins. We are seeing some headwinds from a commodity standpoint, the investments that we're making in the warehouse et cetera. And we're looking to offset that with productivity and some select pricing initiatives. So if you think about the base business, we're looking at modest margin expansion and if you -- so ISB was if you back them out. Obviously if you look at the Voortman piece, the Voortman side of the equation is going to be slightly margin accretive and ISB would be working the other way. End of Q&A
Operator: We have reached the end of the question-and-answer session. I would now like to turn the call back over to management for any closing remarks. Andy, I think your line may be on mute.
Andy Callahan: So that concludes the call. So I appreciate everybody's energy. There are no further questions.
Operator: No we have no further questions at this time.
Andy Callahan: All right, great. I appreciate everybody's interest in Hostess. We're activating our value creation model. I feel great about the future we have. We have a big first half to go to continue to transform the company and create value and the long-term value thesis is very strong. So I appreciate everybody's interest. Have a great afternoon.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation. And have a wonderful day.